Operator: Good afternoon. Thank you for attending today’s KRC 4Q, 2022 Earnings Conference Call. My name is Tamia, and I will be the moderator for today’s call. All lines will be muted during the presentation portion of the call with an opportunity to questions-and-answers at the end. [Operator Instructions] It is now my pleasure to pass the conference over to our host, Bill Hutcheson, Investor Relations and Capital Markets. Please proceed. 
Bill Hutcheson: Thank you, Tamia. Good morning, everyone. And thank you for joining us. On the call with me today are John Kilroy, our Chairman and CEO; Tyler Rose, President; Justin Smart, our incoming President and current President of Development and Construction Service; Rob Paratte, our Chief Leasing Officer and Senior Advisor to the Chairman and Eliott Trencher, our CIO and CFO. At the outset, I need to say that some of the information we will be discussing during this call is forward-looking in nature. Please refer to our supplemental package for a statement regarding the forward-looking information on this call and in the supplemental. This call is being telecast live on our website and will be available for replay for the next eight days both by phone and over the Internet. Our earnings release and supplemental package have been filed on a Form 8-K with SEC and both are also available on our website. John will start the call with third quarter highlights, and Eliott will discuss our financial results and provide you with our 2023 earnings guidance. Then we will be happy to take your questions. John?
John Kilroy: Hey thanks, Bill. And hello, everybody. Thanks for joining us. 2022 was the year of transition, as evidenced by substantial increases in interest rates that impacted the economy and the capital markets. But as we enter 2023 there are signs of inflation cooling, the flat fed slowing down the pace of interest rate hikes, and a resilient consumer. Kilroy is focused on things we can control. Our portfolio is top notch. Our balance sheet is strong and we are patiently waiting for opportunities to allocate capital. That theme of transition can also be seen in the office market as more companies are adjusting to post pandemic life, and many are reestablishing in office policies. Disney, Paramount Netflix, First republic, Sales force, Starbucks and Twitter are among some of the most recent to mandate to return to the office several days a week. This follows Microsoft and Apple who have been leaders among such tech companies and returning to in person work, and a recent conversation about remote work. Tim Cook, the CEO of Apple stated you collaborate with one another because we believe that one plus one equals three. We have all heard the recent announcements regarding corporate layoff. While layoffs are not, are never a good thing for office companies we believe that they have and will continue to drive an increase in physical office occupancy. For many of the biggest technology companies, headcount exploded during the pandemic, growing upwards of 50%, while office flip grew only 10% according to JLL. The recent layoffs are only a small fraction of those hired during the last few years, and seem to consist of many folks that never went into an office nor had any office space dedicated to them. The well reported flight to quality trend continues to get more pronounced, with trophy rents generally holding and commodity rent softening. According to JLL newer buildings generated 60% premium in rents compared to commodity properties. The endless premium has the potential to grow even larger, with the vacancy rate for older space in markets like Seattle and Silicon Valley nearly twice as high as the vacancy rate on newer buildings. In addition, there is and will continue to be a scarcity factor that exists with quality space. As new supplies flowing for JLL square footage under construction fell by 7.5% quarter-over-quarter and 15% year-over-year and we suspect the new construction in 2023 will fall even further. Over multiple cycles Kilroy has strategically assembled a portfolio and premier markets that have the talent base and infrastructure to continuously pursue innovation. And innovation is alive and well. As an example, in San Francisco and Seattle there have been compelling breakthroughs in artificial intelligence and machine learning, punctuated by the recently reported Microsoft cumulative investment of $14 billion in the ChatGPT a local San Francisco company. The Bay Area remains the largest market for venture capital and represented over 30% of U.S. funding in 2022. As this or other innovations translates into demand, we believe our portfolio is well-positioned to capitalize on this growing technology sector. As we highlighted at our investor event in November, our portfolio is young, well-located, amenitized and attractive to many of the best companies in the world. A flight to quality dynamic has never been more pronounced and should drive outsized market share for Kilroy in the years to come. Turning to recent highlights. We signed approximately 460,000 square feet of leases since the end of the third quarter with an average term of approximately seven and a half years. Some highlights include a five year 65,000 square foot lease with MediaTek, USA, a semiconductor company in San Diego, a five and a half year 50,000 square foot lease with Redhat, a technology company in San Francisco, a seven and a half 35,000 square foot renewal in San Francisco with NBC Universal, a premier broadcasting company, and over 70,000 square feet of leasing and indeed tower in Austin, with Paige Sutherland and HNTB Corporation bringing the project to 71% lease. This year, we anticipate some challenges in office leasing. As you likely saw in our earnings release, our occupancy will be lower in large part due to a move out at our West 8 property in the Denny re-grade sub market of Seattle. We plan to this possibility when we bought the building in 2021 and began implementing our plan to recanted the project and roll up the rents to market. We believe West 8 is very well positioned in the market. It occupies nearly a full city block in a centralized location. And it’s surrounded by lots of amenities making it appealing to many types of companies. Turning to life science, which now makes up over 15% of our NOI demand continues to be resilient. We have multiple prospects interested in Kilroy Oyster center phase two, towards Oyster Point phase two which consists of three buildings totaling 875,000 square feet. Upon delivery of this project, our project, our life science NOI will grow to more than 20% of the company total. And over time, we expect this number to grow to over 30% as we deliver future life science projects currently in our pipeline. Our retail and residential portfolio which comprises approximately 5% of our NOI has been steady. Residential occupancy is approximately 94% with rents increasing meaningfully compared to last year and limited new supply expected to deliver in our sub markets. The investment market remains spotting and we continue to be patient and discipline. We have yet to see meaningful opportunities of interest to that end in 2022 we pause the start of new speculative developments, thereby reducing our near term future commitments by over a billion dollars. However, there will be a time to play offense and having substantial liquidity will be key. In summary, our strategy is based upon three key tenants; best in class real estate, disciplined capital allocation, and a fortress balance sheet. The simple but effective approach is cycled tested and proven to work in various environments. On the people front in December, we announced the Tyler Rose will be leaving at the end of this month. I want to thank Tyler for his 25 years of service, and I know all of the Kilroy team joins me in wishing him the very best. Justin Smart nearly 30 year veteran in Kilroy and currently president of development and construction will be assuming the role of president effective March 1. We know all of us, I know all of us are excited to work with Justin in his expanded role. I would also like to acknowledge Rob Paratte’s expanded role of Chief Leasing Officer and Senior Adviser to the Chairman. Rob has been with Kilroy for nine years and is not just an excellent deal maker but also a leader within the company and a trusted adviser. As Bill mentioned in his introduction, Eliott Trencher has been serving as our interim CFO for nearly a year and named our full time CFO effective as of yesterday. I’m delighted to have Eliott be our permanent CFO. The Kilroy ventures deep and talented and cycle tested. In conclusion, I want to congratulate Justin Rob and Elliot on their added responsibilities. And I also want to thank the entire Kilroy team for its hard work and dedication. And for all of our listeners, we at Kilroy are back in the office.  That completes my remarks. Now I’ll turn the call over Eliott. 
Eliott Trencher : Thank you, John. FFO was $1.17 per share in the fourth quarter similar to the third quarter. On the same store bases fourth quarter cash NOI was down roughly 1%. There were several onetime items in the prior period from termination fees, tenant catch up payments and real estate tax true ups. Excluding non-recurring items same store would have grown roughly 2.5%. For the full year cash same store NOI was up 7% ahead of our increased guidance of 5.5% to 6.5%. At the end of the quarter, our stabilized portfolio was roughly 91.5% occupied slightly ahead of our full year guidance. The portfolio remained roughly 93% leased. Toward the end of the quarter we commenced revenue recognition for indeed lease in Austin. As a reminder, this lease began in the third quarter of 2021, and we have been receiving cash rent since the first quarter of 2022. For modeling purposes, it is important to note that the space put into service this quarter also stopped capitalizing interest. At the end of the quarter, we came to a resolution with DirecTV and El Segundo. As part of the agreement we took back approximately 150,000 square feet effective at the beginning of the year, and DirecTV continues to lease approximately 530,000 square feet. We are pleased with this outcome as it more closely aligns with the terms of DirecTV’s original contraction, right. However, there will be an impact to occupancy and FFO in 2023. During the quarter, we moved a roughly 45,000 square foot building at our Mineral Park campus into redevelopment in order to add Life Science infrastructure. The location is appealing to life science tenants and we already have several life science companies in other buildings throughout that complex. Looking at the balance sheet, we enhanced our liquidity during the quarter with our previously announced $400 million unsecured term loan. Post quarter end, we exercise the $100 million accordion at the same terms of adjusted SOFR plus 95 basis points, increasing the total term loan facility to $500 million. Net debt the fourth quarter annualized EBITDA remains about six times. And we have no debt maturities until December of 2024 and limited interest rate exposure with all of our debt fixed or subject to cap. Now let’s discuss the 2023 guidance. To begin, let me remind you that we approach our near term performance forecasting with a high degree of caution given all the uncertainties in today’s economy. Our current guidance reflects information and market intelligence as we know it today. Any the COVID related impact is significant shifts in the economy are markets and in demand construction costs and new supply going forward could have a meaningful impact on our results in ways not currently reflected in our analysis. Projected revenue recognition data subject to several factors that we can’t control including the timing of tenant occupancy. With those caveats, our assumptions for 2023 are as follows. As always, no acquisitions are forecasted, and we expect dispositions to be between 0 and 200 million weighted toward the end of the year. Similar to 2022, we do not have an immediate need for capital. So we will pursue dispositions if we believe they are beneficial to shareholders. 9514 Town Center Drive and the balance of Indeed tower are scheduled to come into service in the fourth quarter of 2023. The balance of our life science redevelopment at 4690 Executive Drive is scheduled to commence revenue recognition by the third quarter of 2023. We anticipate drawing down the remaining $300 million from our term loan throughout the first three quarters of the year. Development spends for the full year is expected to be $450 million to $550 million, mainly driven by KOP phase two. We have capacity to fund our 2023 spend through cash on hand and proceeds to be drawn from the term loan. As a reminder, we have $1.1 billion line of credit that remains fully available if needed. We expect occupancy for the full year to average between 86.5% and 88% a 400 basis point decline from the fourth quarter. Most of this decline can be attributed to the Amazon and DirecTV move outs which occur in the first half of the year. Same store cash NOI is expected to grow between 0% and 2%. The decline from 2022 is driven by the lower portfolio occupancy from the move outs previously discussed. G&A is estimated to range between $82 million and $90 million. Putting this all together 2023 FFO guidance is projected to range between $4.40 and $4.60 per share with a midpoint of $4.50 per share. To provide further clarity annualizing our fourth quarter number translates to $4.68 per share. To get to our 450 midpoint we subtract the net $0.10 per share due to the lower 2023 occupancy which factors in our move out, move in and development contributions. We then subtract $0.08 for various other items most notably higher interest expense from our term loan and the plan dispositions. In terms of sequencing throughout the year, the second half of 2023 is expected to be lower than the first half due to the West state move out at the beginning of the second quarter, and the full draw down of the term loan by the end of the third quarter. That completes my remarks now we will be happy to take your questions. Tamia?
Operator: We will now begin the question and answer session. [Operator Instructions] The first question comes from Nick Yulico with Scotiabank. You may proceed. 
Nick Yulico: Thanks. Hi, everyone. So maybe first question is on the occupancy guidance. Eliott did provide some color around that on the move outs. But can you maybe give us a feel for what, as well, you’re thinking about what that factors in on a retention ratio. And as we’re thinking about a new leasing volume this year, maybe in perspective to recent years.
Eliott Trencher: Yes, sure. So the retention is obviously going to be on the low end relative to our history. Historically we’re plus or minus in the 50% range. We’re going to be quite a bit below that and it gets skewed because we have a few of the large move-outs that we referenced. As far as new leasing, we do expect some. But as far as the translation to occupancy, it's not going to be that meaningful because when you just think about the sequencing of it all, the timing for new leasing to happen and occupancy to actually take effect, it's going to be weighted towards the back half of the year.
Nick Yulico: Okay. Thanks. And then I guess second question is, as we think about big tech and the impact on the West Coast or it's sort of hitting the leasing market right now, not as much activity I guess what do you think changes that? Because it does feel like there is a, in some ways, a slow return to the office happening increasingly out there, yet it's not really translating into leasing activity. So, any thoughts on that would be helpful. And congrats on the promotion to everyone as well.
John Kilroy: You want to--
Rob Paratte: Thanks Nick. Yes, sure. This is Rob Paratte. Let me make five points that I think address your comment. We could get more specific, if you want. But the first one I'd make is, as you've heard John say frequently in the past, there's a time to act and a time to pause and tenants are basically in a pause mode right now. And as a result, that's affected demand. The second point I'd make is that demand today is primarily driven by lease expirations and also the flight to quality, which you've all read about. Another point I'd make is that the great resignation that everyone was talking about after the pandemic or kind of during the pandemic, has now given the way to the great rebalancing; layoffs are changing the dynamic between employer and employee with leverage moving in favor of the landlord. And we're seeing, I think, tangible evidence of that as national occupancy of office continues to increase. Hybrid work is clearly the dominant model going forward. Most employers today are now requiring three to four days back to the office. And some are even mandating four days to the office. So, we expect that trend to continue. And the last point I'd make, and this goes to some of John's comments, there's haves and have nots in every market. And with respect to obsolete office product, it's going to struggle in the leasing environment, whether it's tech or fire category tenants. The bottom-line is, right now, we're in an amenities arms race and as tenants seek the best space as they can in order to lure their employees back to work and also retain the employees they want to keep, they're making investments in their suites themselves, with different design elements and that sort of thing. And landlords are also making investments in amenities. And I think that last point really plays well into the Kilroy hand because of our young portfolio and the passion we've had for over a decade of really highly amenitizing our buildings with nicer lobbies, hospitality-type feel, outdoor terraces, and that sort of thing. Does that answer -- I hope that answers your question.
Nick Yulico: Yes, that's helpful. Thanks Rob.
Operator: Thank you. Our next question comes from Camille Bonnel with Bank of America. You may proceed.
Camille Bonnel: Hi. Following up on the previous occupancy question, I think you mentioned new leasing would be more meaningful towards the back half of the year. So, can you speak to the occupancy trend over the next few quarters. Are you expecting it to improve in the back half?
Eliott Trencher: So, the way to think about it is we're going to see occupancy dip in the first half of the year because that's where the majority of the large move-outs happen and then we think it will stabilize towards the back half of the year. And then the other piece to remember when thinking about the sequencing of occupancy is that our indeed tower project starts coming into the numbers in the fourth quarter of 2023 as we mentioned. So, that is factored into our occupancy projection.
Camille Bonnel: Helpful. And can you speak a bit more about what you're seeing in the financing environment? And what further financing activity, if any, apart from the outstanding term loan is reflected in your guidance, just given your capital needs this year?
Eliott Trencher: So, there's nothing else factored into our guidance on the financing side other than what we've laid out to the term loan and then the dispositions. As far as the sources and uses go, we don't need to sell those assets in order to fulfill our funding plan. We can do all of that with the cash on hand and the proceeds from our term loan. And as far as the financing environment, I think we have thought the most effective source of capital has been the term loan market, which is why we've pursued that and to be able to get debt at SOFR plus 95, we think is pretty attractive. We know others may take a different approach and everyone's got to do what works best for them. It does seem like the markets are opening up the financing markets, at least early this year, have opened up a little bit more relative to last year. but we're pretty comfortable where we sit.
Camille Bonnel: Thank you for taking my questions and congrats on the promotions, everyone.
Operator: Thank you. The next question comes from Blaine Heck with Wells Fargo. Your line is open.
Blaine Heck: Great. Thanks. Good morning out there. John, there's a slide on capital allocation and your typical investor presentation deck that goes through your net investment decisions during economic contractions and expansions. And really shows that you guys have been countercyclical investing in contractions and selling into strength. Like you said, 2022 was a relatively light year for acquisitions, dispositions and development starts, but as you look into 2023 and even into 2024, how do you think you guys are kind of positioned to take advantage of the weak market from a capital allocation perspective?
John Kilroy: Well, it's a good question, and it's one that will play out over time. That slide that you mentioned, I think everybody on this call has seen it knows it's one of my favorites because it does show there are times when you want to buy aggressively, times when you want to sell, times you want to develop and times when you want to just prepare for what's next. We're prepared. We are starting to see some assets that are coming to market or rumor to be coming to market. I don't know whether they'll transact, whether there's still price exploration, there's so few data points, that for quality assets that it's a little hard to know when it's going to open up. I think the comment that Elliot just made that the financing markets are beginning to open up for quality deals and quality borrowers. That will help stabilize things with the Fed backing off, reducing the rate of increase, that's a positive sign. So, at some point, we'll get to a more stabilized market where there are more buyers that are able to transact and probably more sellers are willing to transact. But that's a ways off. So, we're prepared. We're very active in knowing what's coming to market as people start thinking about it. But we don't have any specific assets that we're looking at buying right now, we're looking.
Blaine Heck: Okay, great. That's helpful. Second question, can you just talk about leasing progress at Indeed Tower. You guys increased the lease rate there to 71%, but you're facing some additional competitive space being delivered or subleased in the market in the near term. I guess, is there any sense of urgency to get leases done there before some of that new space is delivered?
Rob Paratte: Hi Blaine, this is Rob. First of all, as you said, we're 71% today at Indeed, and we have a robust pipeline. I don't want to predict when things will sign, but we expect that percentage lease to increase and Austin in general, is still a pretty active market more so than most of the country. As companies continue to seek space in Austin and the employees and talent that are there. One comment I'd make on the whether they're not rumors, whether or not sublease space that comes on the market is that oftentimes, especially if it's a larger space, it takes the sub-lessor quite a bit of time to really understand the metrics and how to make that sublease space viable. It's not their primary business. I guess, it's a simple way to say it, whereas owner developers like us do this every day. So, I guess what I'm saying is I don't -- although there's been press about sublease space coming on the market, I don't see it as particularly imminent because a lot of those companies have other bigger fish to fry.
Blaine Heck: That’s helpful. Thanks guys.
Operator: Thank you. The next question comes from Michael Griffin with Citi. You may proceed.
Michael Griffin: Great. Thanks John, I think you started off in your prepared remarks, talking about a more concerted effort from business leaders to bring their employees back. And I'm just curious, in your conversations that you're having, how much could we really expect this utilization rate to increase? Is there a chance that it ever at some point gets back to that pre-COVID utilization rate? Or are we going to be stuck in this, call it, low to mid-50% range. Any additional color there would be great.
John Kilroy: Yes. Well, I happen to be in San Diego today, and San Diego, at least in our properties, the utilization rate is back up in most cases to what it was pre-pandemic. We're seeing that in Austin as well. We've seen -- I made comments back at our Investor Day in November preceding NAREIT that in San Francisco alone more than doubled at Labor Day, and it's increased since then, similarly in Seattle. L.A., we're seeing more and more people back to work. Rob can give you what the numbers are there. We've had some vacancy in Hollywood near El Centro building that's, I don't know, 70-or-so thousand feet. Don't hold me to that number, but Robert, I can give you the exact and we have quite a bit of interest from a multitude companies. So, it's happening. It's not uniformly happening in each and every market, but it's happening. And I'm optimistic that we're going to see some big improvements over the course of this year. Like anything, nothing ever happens -- good stuff generally takes longer tough stuff generally as everybody thinks about more quickly, it's more present in our minds. But I'm optimistic based upon what we're seeing. And we see it in our garage revenue. We've talked about that in prior calls. It's way up over the last couple of years. So, more would be seen, but -- and does it get to your point, does it get back to pre-pandemic? The new occupancy is going to be a little bit different. There's a lot more open space and common area space and so forth, a lot less in the way of the work tables and whatnot. So, the actual occupancy in the same square footage of people, even when fully occupied is likely to be fewer people per square foot, if that makes any sense. So, that's kind of the trends we're seeing.
Michael Griffin: Great. That's certainly some helpful color. And then maybe real quickly on life science, particularly the redevelopment announced at Menlo Park. I guess why does this make sense now? And then could you give us a sense if you've identified any other buildings that could be candidates for a possible redevelopment like this?
John Kilroy: Let me start with just the candidates. We always look at our buildings, whether they should be converted, whether they should be renovated, whether they should be some way repositioned, and we that's a normal course of our business. In 2021, we announced three renovations to our conversions on life science down in San Diego that were all leased and Menlo Park is a complex where we have a lot of life science. So, we know what the demand is there. And Rob, if you want to give a little bit more detail, go right ahead.
Rob Paratte: Sure. Mike, the way I'd look at it is that by doing this life science conversion, we're effectively doubling the number of prospects that we can engage with. There's a number of office tenants that are in the market, but there's also pretty much an equal number of life science tenants in and around Menlo Park, Redwood Shores, and Redwood City. And so we looked at the overall market demand from both office and life science and this project, given its design and being multiple buildings, we can answer to both needs, and we already have life science in the project. So, it just made a lot of sense.
Michael Griffin: Great. That’s it for me. Thanks for the time.
Operator: Thank you. The following question comes from Steve Sakwa with Evercore. You may proceed.
Steve Sakwa: Yes. Thanks. Elliot, I appreciate all the detail you went through on the occupancy. I guess I'm just a little bit confused in the sense that you're saying in deep towers paying rent, but yet the building and the occupancy stats don't kind of fully flow into your numbers until the end of the year. Am I sort of hearing you correctly or am I missing something?
Eliott Trencher: No, you're hearing us correctly. I think typically, and we've done this in other instances, most notably with 333 Dexter, right? There's a difference between when revenue commences on a portion of the building and when the building has qualified for going into service, and so in the case of Indeed Tower, we are starting to get rent from Indeed, that starts the 12-month clock by which we can complete the lease-up. And after the 12-monthclock, it has fully finished being a development project and it goes into service for occupancy calculation. So, that's something that we've done in many other projects.
Steve Sakwa: Okay. So, if I take kind of the move-outs that you described, DIRECTV and some other move-outs in January plus the Amazon move out that's coming in April. If I do my math right, that kind of gets you to around the high end of your occupancy of about 88%. And you're sort of talking about a low end of being 86.5%. Is that kind of geared to anything specific? Or is that just sort of cautiousness or just uncertainty in the marketplace and giving yourselves some wiggle room on retention and slow new leasing?
Eliott Trencher: I think that there are a lot of puts and takes when we think about how to get to a number, and we try to highlight the major factors, I think in two quarters ago, we referenced the Pac-12 move-out, which happens in 2023 as well. So, there are obviously a lot of moving pieces there, but we got a -- we think we're pretty comfortable between 86.5% and 88%.
Steve Sakwa: Okay. And then, John, just on the KOP leasing. I mean it sounds like the last couple of quarters, you felt like there's been good demand, but you haven't been able to kind of get anybody to the finish line. I'm just wondering if the rally in the biotech stocks and pickup in pharma has sort of accelerated those discussions? Or do you feel like you're getting closer with certain tenants? Or what do you think it takes to get things over the finish line here? Is it stock prices or just getting the building closer to finish?
John Kilroy: Well, Rob can give you the specifics on the market and what we've got going there. But I always go back to this, Steve, that all these companies have a lot of new products that they're dealing with. They've got to figure out where their energy is going to be spent and whether it's life science or others. Everybody is trying to figure out what their new footprint is going to be. And with that, Rob, if you don't mind going through just kind of drilling down -- the responses or comments to the questions.
Rob Paratte: Sure. I think a little more into what John was saying, Steve, is that life science has traditionally been and continues to be a little more thought, I guess, slower in their uptake of space, given a lot of the factors John said, whether it's pending patents, whether it's other new innovations they're working on, and they just are a slower tenant in terms of -- they're more like a fire category tenant, honestly, in terms of their uptake of space. And you hit on -- the second part of your question was valid, which is that the buildings right now have steel up or topped out they're more visible and we've noticed an increase in activity actually. We still have large users looking, but we've noticed a marked increase in single floor or double floor users. So, as the buildings continue to progress, we expect that visibility to translate into more tours and demand. So, we're kind of still in the early stages, but now that we have steel up, things are moving forward. And I guess the last thing I'd say is no industry is immune from the uncertainty in the economy we're in. So, as I said earlier, when I was answering Nick's question, tenants are moving slower due to uncertainty.
Steve Sakwa: Got it. Thanks.
Operator: Thank you. Our next question comes from Tom Catherwood with BTIG. You may proceed.
Tom Catherwood: Thanks, and good morning, everybody. Elliot, sorry to keep drilling on occupancy here, but just some still not lining up for me. I understand the move out is very helpful. But when we look at the difference between leased and occupancy right now, it implies maybe a little over 200,000 square feet of leases that haven't yet commenced. Is the expectation that those take longer to come online, that's later in the year, which drags down average occupancy? Or is it seems like that would push you up even above the top end of the range that you have now? How are you factoring that into guidance?
Eliott Trencher: Yes. It's mainly a weighting thing, I think, that you're the missing piece there. The move-outs that we talked about are January, April, kind of the first half of the year and the bulk of the move-ins are in the back half of the year. So, you're right, that square footage is coming in but in terms of the waiting for the total year, it doesn't have a full year impact, whereas the move-outs have much more closer to a full year impact.
Tom Catherwood: Got it. Got it. Thanks Eliott. And then, Rob, just wanted to loop back on your commentary about sublease space, I think you were referring primarily to Austin there. But in general, we've seen an uptick across your markets in the fourth quarter. It looks like some of it, at least in your portfolio, has been resolved recently. But what are your thoughts on that competitive set in your market? How is it impacting kind of lease negotiations? And do you expect any near-term change on that?
Rob Paratte: Sure. Well, as we've said before, there's different segments of sublease space or increments of it. Some of it's just obsolete space that is going to be very difficult to move. I think what you're seeing, particularly in San Francisco, but other markets also, is that some sublease space is converting to direct space. And again, you can't generalize about that. Some of it will be very good space, Class A, and some of it will be not so good and so you have that kind of convergence there of sublease becoming direct. Sublease space is always a factor in a negotiation or in a market. But again, if you're really looking at flight to quality, the sublease space that is available using San Francisco, as an example, more than half of that is space that we wouldn't consider competitive to premium product and assets like we have. Another statistic kind of going off what John said in his remarks, 70% of the deals done in San Francisco in the fourth quarter of 2022, we're going to a space that was basically 2010 or newer space. And so whether that's sublease or whether that's direct, the rates are going to be higher than they would be in just kind of Tier 2 space or Class B, B plus. And that's universal. I mean that's going to be whether you're talking Manhattan or wherever, that's just a fact.
Tom Catherwood: Got it. That’s it for me. Thanks everyone.
Operator: Thank you. The next question comes from Dave Rogers with Baird. Your line is open.
Dave Rodgers: Hey everyone. Tyler, congratulations on the retirement. It's been good to work with you all these years, and congrats to everybody else. John, maybe on investment. Blain asked the question earlier, but with respect to development versus acquisitions, I'm kind of curious on your thoughts, if we're talking only the top 10% or 15% of assets now in any particular market are super attractive from a tenant perspective, I mean, do you really anticipate to see a number of opportunities that come as distressed opportunities in that 10% to 15% subset. Are you really interested in those opportunities, knowing that you're facing kind of a next-generation rollout? Or would you rather just build? I guess, I'm curious about how much distress really is attractive for you and the REITs overall versus wooing a tenant away and building them a new building?
John Kilroy: Yes, it's a really perceptive question. And I don't recall, Dave, whether you were at our Investor Day, but I comment on that, then the target list of buildings that meet our locational and our sort of the quality, not only quality in terms of finishes and all that sort of stuff, but the floor plates, et cetera, that are attractive -- would-be attractive to us, then have to be trading at a price that makes sense to us. So, I think it's going to be harder to find quality assets across our markets than it has been. But having said that, we're pretty innovative people. If we find something that's in the right market, that can be made to be the kind of building that we know people want, we have the skill set to accomplish that. And there's a lot -- there's been a lot of times, a lot of buildings and so forth in periods where we were less optimistic than we ended up that our actions dictated. So, you just have to be out there, it's like a fisherman. You have to be out there fishing, and you throw a lot of them back, maybe a bad analogy because I'm not even a fisherman. But on the development side, if you're quite perceptive again, development, you're not going to do it unless you're pretty confident you're going to get the kind of return that makes sense. You've got best-in-class product with long life ahead of it and so forth. And we, of course, are pretty good developers and have a good development pipeline. So, we just -- we're going to keep us when we started buying in San Francisco in 2010, we caught the market by surprise. We bought aggressively good product that had the physicality we wanted. We positioned ourselves for development. We moved into that quickly. Every cycle has a little bit different execution, but you got to be nimble, and we are, and you got to have a great team and we do. And in the context of development, sites, they are pretty difficult to find in our markets, and we control a number of them that are entitled. So, more to come.
Dave Rodgers: And then maybe just a follow-up. You talked at NAREIT John, about potentially looking at other markets. Does this environment to these opportunities make you more or less interested in adding another dot on the map or does that not really matter?
John Kilroy: We're not looking at -- to use your terminology, we're not in serious pursuit of any other dot on the map at this point. We do have a strategy for the greater Austin area, and we're excited about that. We're not executing anymore, we don't have any land sites or anything that we're looking at buying at this point. I think that may be an area where we find some opportunity to do course. Again, we have nothing that we're looking at. But there are some folks that have approached us where they thought they were going to be able to entitle things and then move it into a sale category. But obviously, there's a lot less appetite for risk, the interest rates and the economy and so forth has given a lot of people's hope. So, there may be some opportunities at some point in that area. But we're not looking at seriously for any near-term execution in other markets.
Dave Rodgers: Thanks John.
Operator: Thank you. Our next question comes from George [Indiscernible] with Mizuho. Please proceed.
Unidentified Analyst: Hi, thank you for taking my question. I know you just touched a little bit on Austin. But I'm just curious, what would make the team slow or accelerating investments in the Austin? And has your view of the Austin market change in any way?
John Kilroy: I didn't quite understand the first part of your question, George. Forgive me. 
Unidentified Analyst: Yes, I was just curious what would make the team slow or accelerate investments into Austin? And has your view of the Austin market change in any way?
John Kilroy: Yes. Well, our view has not changed with regard to the long-term. Our view in the short-term is, as is always the case when you're in a downturn there generally will be opportunities. We're not pursuing anything specifically at this point. Also in downturns, you want to be more cautious with regard to what you do. But there's nothing that's changed in the long term. And in terms of slowing down, I mean, you saw last year, we bought hardly anything, and we bought one site. And we haven't -- we're not in negotiations right now to buy anything building or land. And it's sort of a time to be a little bit more cautious. It's for us to be compelling for us, something has to be terrific at this point.
Unidentified Analyst: Great, that's helpful. And just my second question. I guess, what are you monitoring as you think about timing of capital deployment?
John Kilroy: Eliot, can you get that.
Eliott Trencher: Yes, I can handle that. We're kind of looking at all the things we would typically look at, which is what are the market conditions out there? What are we seeing on the leasing side? What are our tenants telling us and then where values? And when we see an alignment of leasing conditions that we think are going to be strong and values that are attractive, then that is something that would cause us to increase the amount of capital that we deploy and vice versa. So, we're just going to be at a different point in the cycle, depending on the year, but the process is pretty similar.
Unidentified Analyst: Great. That’s all for me. Thank you. Appreciate the color.
Operator: Thank you. Our next question comes from Omotayo Okusanya with Credit Suisse. Please proceed.
Omotayo Okusanya: Yes. Good morning out there. Again, Tyler, all the best, Eliott and the rest of the crew Congratulations. A little bit of focus on Eliott, I think your comment about the earnings cadence this year was that first half was going to be stronger than the second half, so you're going to see a gradual slowdown. I'm just wondering if we should kind of think about second half really as the bottom or the inflection point earnings-wise as we start to look kind of beyond 2023? Or if there's still -- first one again, you have Indeed Tower coming on board, you have Kilroy Phase 2 coming on board. Or should we kind of still be thinking about things a little bit differently about earnings cadence, even beyond back half of 2023.
Eliott Trencher: Hey Tayo, so we obviously are talking about 2023 guidance. We don't have 2024 guidance yet, which is, I think, sort of where you're going. As you think about some of the drivers in those out years, you're right, we will have full years from indeed in 2024. We'll have a full year from the two San Diego projects that are coming in, in 2023. And then just the big question is what happens to the core portfolio in 2024. So, I think those are some of the major drivers. And as we kind of progress throughout the year, we'll have better clarity on how those are going to play out in 2024.
Omotayo Okusanya: Got you. Thank you.
Operator: Thank you. The following question comes from Dylan Burzinski with Green Street. You may proceed.
Dylan Burzinski: Hey guys. Thanks for taking the question. I guess just curious, how are you guys thinking about the portfolio in terms of market concentration from a longer term perspective? Are there certain markets where you see yourself expanding or contracting more so than others?
John Kilroy: Yes. This is John, Dylan. That's a good question. It's one we ask ourselves quite a bit. In others -- we're -- three or four different products and with regard to life science of San Diego and San Francisco are two pretty key areas. So, we think we'll continue to grow in those markets. We don't have any plans at this point to be in any other markets with life science with regard to office concentrations. Over time -- and it takes a long, long time, we're likely to be more active on the buy or the buy -- the acquisition side in the Austin and beyond just because of the balance issue, but things never work out exactly as you might plan. On the development side, we have some pretty big development opportunities within the markets we're in today, and that is really in all four areas, five areas. And those will play out over time. Will we add significant development again over time as it's appropriate in the Greater Austin market probably. It's a very intellectual question, and I appreciate you asking it. I wish I could be a little bit more intellectual in answering it because at the end of the day, we don't have some internal formula about have this much here, not much there. To me, you've got to keep your eye on a lot of different factors and the factor that that's first and foremost in my mind, that should be in everybody's mind is where is innovation growing and what kind -- what's the supply or barrier to entry equation. In the comments I made in my earlier comments about artificial intelligence. I think this is going to be the biggest thing in tech that it's been, I guess, invented, if you will, in decades. It has massive, massive legs. And we're right in main in main on that.
Dylan Burzinski: I appreciate that. Thank you. And then I guess just 1 follow-up. It looked like Riot Games expanded their square footage you guys portfolio? And then there was a footnote added that they have some square footage expiring in sometime this year. I guess can you kind of update us on your renewal talks there? or not is kind of indicating that they're likely to move out of that space?
Rob Paratte: Hi, this is Rob. I really don't want to -- yes, I really don't want to comment on active discussions we're having especially in an environment like this. I just -- all I can say is we're engaged and more to come.
Dylan Burzinski: Okay. Appreciate that. Thanks guys.
Operator: Thank you. The next question comes from Peter Abramowitz with Jefferies. Your line is open.
Peter Abramowitz: Yes. Thank you. I just wanted to ask, you have Salesforce as the top tenant. I know your leases are mostly in its average nine or 10-year term remaining. But just curious, have you had any conversations with them, just given the restructuring plans they announced and the possible office footprint reduction as to kind of what their plans are if that relates to any of the buildings you have them in.
Rob Paratte: John, I can -- yes. In markets like this, we really in touch with all of our clients even more so now, but we -- as a regular practice do, but now we doubled down on it. So, we talk to Salesforce quite a bit. They successfully sublet space in 350 Mission, which is our building, but we're not having any discussions with them in any way about any changes beyond that and they're happy in the building. Some of the space they have in the market is building their own and much older product. So, hard to say. I think it's notable that Salesforce, which had their work from anywhere policy is one of the companies that's come back pretty quickly to three to four days of work in the office for most employees. So, I think a lot will change in the next year or so in terms of just, again, how many people are back to work, how companies are using space and demand will eventually play out. I mean we're in a cycle, right? And certain cycles are like 2019, where everything is great and other cycles we've worked through. I mean one of the best things about our management team and the basic team we have in every region is that we cycle tested and have been through these before, whether it's dot-com or the financial crisis or when. So, that's the best way I can answer it.
Peter Abramowitz: Got it. Thanks. That’s all for me.
Operator: Thank you. Our following question comes from Jamie Feldman with Wells Fargo. Your line is open.
Jamie Feldman: Great. Thank you and congratulations everyone on the promotions and good luck, Tyler with your next chapter. We'll miss you in [Indiscernible] land, that's for sure. I guess just kind of big picture here. So, we've certainly seen layoff announcements in your markets. Can you just give more color about what's happening on the ground? I know you had mentioned that jobs are still above levels of less of kind of pre-pandemic or the last three years. But just kind of what is really shifting that's noticeable? And maybe if you fast forward a year from now, how do you think your markets look versus today? And does that change at all the type of assets you want to own or maybe the size of the location or submarkets you want to be in?
John Kilroy: Well, it's a -- that's a compound question, Jamie. Good job. We'll take it one at a time. Rob, do you want to take the first part?
Rob Paratte: Sure. Jamie, good to hear your voice. It's been a while. So, with respect to layoffs and what we're seeing in our markets, there's the headlines that all the media publishes. But then to your point, you get into the specifics. And when you look at some of the big tech layoffs, a lot of them have been in what I would call the softer sides of the business where they had multitudes of event planners or very robust HR departments because they were ultimately doubling their workforce over a short period of time. So, that's where we're seeing a lot of the focus, and that's not unusual, right? It's usually things like whether it's marketing, events, some HR and basically sort of headquarters type functions. What we are seeing, and this is happening in the Bay Area quite a bit is -- and there's a statistic out there that the typical tech worker that's been laid off, whether it's from whatever company you can think of basically has a new job in three to four months. And that's from ZipRecruiter. So, I think it's a very dynamic situation in terms of layoffs and where things go. And the one thing that we've always loved about the West Coast is the talent pool that's here in the universities that keep graduating this high-tech talent that everybody wants. So, although we're in a low now, we will get through this and the cycle will turn.
John Kilroy: I'd make the -- this point, Jamie. Just sort of broadly speaking, this flight to quality is massive, and we think we're really well positioned. And as Rob pointed out, is of earlier remarks, a lot of what we're seeing, although not entirely because there was quite a bit of the recent lease we've done where there are new deals and where companies are expanding. The fact is that the predominant thing we see right now is the flight to quality. So, people are moving out of a building, an older building into a newer building, be it ours or somebody else's. So that's not showing positive growth in most markets. But when that collides with growth, you're going to have a flight to quality and growth in quality. And then you look at the delivery of quality space it's way off, and I think it's going to be a lot less under construction this year and possibly next. The dynamics can change for the premium space very, very quickly. And -- so I think that's a dynamic to be aware of, and I think we'll be an early recipient of that. In terms of -- I think part of your question was what we might see in a year? And how does that translate into our planning. Was that the last couple of parts of your question?
Jamie Feldman: Yes, I guess you guys are just -- you're obviously much closer to it than we are based on what you've seen layoffs and companies. Yes, how do you think it feels a year--?
John Kilroy: Yes, I don't know. I mean there's so many factors. You've heard me speak a lot, and we've talked a lot over the years that we can -- the things that we can control, we do a pretty good job on, the things that we can't control the macro factors, we have to adapt to and react to and we always I have talked about how we built the balance sheet and the team to be able to try to withstand the downturn and take advantage of the upturns. As far as we adapted our product quality and so forth to that model as well, I can't -- one of the things -- I don't know that I'm ultra-optimistic but I'm optimistic about what I'm beginning to see in here about interest rate increase really slowing down at some point that's going to get stabilized. When it does, I think the debt market stabilized, and that not only affects real estate with regard to transactions, dispositions, acquisitions, development, et cetera, but I think it also just more broadly, economic clarity will give companies and decision-makers in other industries who are our tenants a lot more ability to see the future and see the growth model. But there's a lot of forces around the world right now that everybody is getting pounded -- you turn on the news, and you don't see and hear a lot of good things. Sometimes it's sort of overblown. It's just going to take a little bit of a dynamic change, people getting back to decision makers being able to see a more stable environment. And so I don't know when that happens. I think it's starting to happen from when I talk with various tens of ours and various friends that run different kinds of companies and so forth, they've been in the reactive mode of how you deal with what could be a more prolonged downturn, whatever, they've been in that mode, and that obviously rattles into real estate and real estate decisions and a slowdown in decisions even when people want to move forward. And generally, as things improve, it takes a little while to get going again. But I think -- I'm hearing more people feel like, hey, maybe the downturn isn't going to be as bad as we thought. But again, if I knew the answer to your questions, I'd be I'd be a wealthy person. I'd be picking stocks, I guess. I'd Warren Buffet or Junior Warren Buffet, and I'm certainly not that.
Jamie Feldman: All right. That's a fair answer. Our team came across a tweet today from the CEO of ChatGPT at San Francisco, talking about the tug of war between the negligence of the San Francisco government and the power of being the center of the AI revolution. San Francisco remains super relevant for the next decade. When we saw you at NAREIT, Blaine and I were just discussing, there was some optimism about the direction of San Francisco on the political side. So, is there anything that you can refer to that gives you more optimism here or makes you feel better about what's to come and have a -- has -- what's happened on the lay op side, motivated the government at all to make even more aggressive changes on to the positive?
John Kilroy: Well, I think there's a number of things. Some of them are government, some of them are individual companies and so forth. People have been frustrated rightfully so, people have all walks of life, all political spectrums, companies, et cetera, with the -- I think it's basically negligence to allow things to get deteriorated to the point they did. And of course, they recalled the District Attorney and District Attorney Jenkins was then elected recently to a full term. The school board thinks that everybody is aware of that happened before that. There are a bunch of organizations that have become incubators for next generations of leaders. And they are more responsible than some of the folks that were making decisions before, there's some new Board supervisor people. There's -- I think there's a trend that's positive. But it took a long time to end up with some of the things that we've ended up with, and it's going to take a long time to change it around. What I think is really positive is now with companies beginning to really come back to work and Rob mentioned how Salesforce had a Work from Anywhere. And now let's get back to the office as just one example of a company that has changed. As more and more people come back, there are more and more people that -- and more and more companies that are putting pressure on the city to make better decisions. So, I think that's a really positive thing. We're obviously active in all of that and so I'm optimistic. But I would say I'm cautiously optimistic because these things do take time. And we have a real issue that is a health crisis with people on the street that requires thoughtful consideration of how we get them off the street. And more and more people are dealing with that -- more and more organizations. And there's a group down here in San Diego, where they don't have any more year, the level of homelessness that they have in San Francisco because it's not concentrated in one area, but a group that's working with the federal government to make federal land available to create a responsible, healthy environment for folks and get them off the street. So, you didn't hear any talk like that six months or 12 months ago, at least I didn't. So, I think there are a lot of positive forces. The fact is, California has great schools, it's been the cradle of innovation for the Western world, it's not the entire world. There's more innovation coming that's growing and stuff people are starting to take much more seriously and become much more active as individuals and companies and putting pressure on government. There's a lot of before -- hey, everything is going kind of okay. Yes, I don't like this. It's sort of like any kind of decay, you need to remove it. Because it's going to grow. And for a long time, it was allowed to grow, unchecked. So, I hope those comments help. But I'm, as I say, cautiously optimistic and I think better -- much better days are ahead.
Jamie Feldman: All right. Great. Well, we appreciate your thoughts and good luck. Thank you. 
John Kilroy: Thank you.
Operator: Thank you. The next question comes from Derek Johnston with Deutsche Bank. Please proceed.
Derek Johnston: Hi, everyone. Hi, John, thank you. In the opening remarks, you talked about 2022 being a transition year. As we looked at the setup to 2023, we felt this would also be a continuation of that transition. But I thought it was interesting that you talked about a potential shift to offence. So, what would you need to see in order to be able to shift to offense. And what would that shift to offense, John, mean for Kilroy? What direction do you think you -- if you had your way, what would you pursue?
John Kilroy: Well, I think Mike, I was pretty specific in my opening comments that we anticipate another challenging year for office. And I think that's -- I stand by that. I think it will be challenging. It will be different in each market. It always is. To be offensive, it would require for us some -- obviously some confidence that we're buying buildings that they've obviously got to be the right -- buildings from a -- the kind of buildings we like in the locations we like and so forth, then they have to be buildings we can make money on. So, there's going to be need to be a real value-creating proposition for us to be active in acquisitions. Obviously, we worked really hard and we will continue to work very hard on making sure that we have plenty of liquidity. So, there's always that to consider what our needs are, and we don't want to get to a point where we're side of things. So that has to feel good. And then with regard to development, I don't see us starting any spec development until there's a real need. But the point I made to some other person's questions earlier about the lack of new construction, the flight to quality at some point there will be a pretty obvious inflection point of a shortage that's looming based upon what is forecasted demand. So, when I say I'm optimistic, I'm optimistic it's going to happen. I'm optimistic about some of the things that I'm hearing some of the changes I've seen. But like a locomotive, if it's going from right to left, it's going to stop before it goes from left to right. And I haven't seen that phenomenon happen yet. What I'm seeing now is it's getting less worse, in some cases. And that generally is a foreshadow to getting better. But I make no pretense about having some magic insight, obviously, and when that's going to occur.
Derek Johnston: Yes. No, timing is always certainly tough. And let's just end it there. That's it for me, John. Thanks a lot guys. Congrats on the promotion.
John Kilroy: Okay Derek. Thanks.
Operator: Thank you. And our final question is a question from Omotayo Okusanya with Credit Suisse. Please proceed.
Omotayo Okusanya: Hi. Just a very quick follow-up. 2023 guidance, are there any term fees in that number?
Eliott Trencher: There's a little bit in the first quarter, expect a few million bucks in the quarter.
Omotayo Okusanya: Okay. And nothing else for the rest of the year?
Eliott Trencher: Not at this point.
Omotayo Okusanya: Okay. Thank you.
Operator: Thank you. There are no further questions at this time. I will now pass it back to Bill Hutchison for closing remarks.
Bill Hutcheson: Great. Well, thank you, Tania and thank you, everyone, for joining us today. We appreciate your continued interest in Kilroy. Have a great day.
Operator: This concludes the conference call. Thank you for your participation. You may now disconnect your lines.